Operator: Welcome to AU Optronics 2023 Third Quarter Financial Results Conference. Before the meeting starts, all lines are being placed on mute. After the presentations by the management team, there will be a question-and-answer session. Now I would like to hand over to Ms. Julia Chao, AU's IR Officer.
Julia Chao: Thank you. Ladies and gentlemen, good afternoon. I am Julia Chao, AU's IR officer. On behalf of the company, I would like to welcome you to participate in our 2023 third quarter financial results conference. I'm joined by four executives; Paul Peng, Chairman and Group Chief Strategy Officer; Frank Ko, CEO and President; James Chen, Display Strategy Business Group VP; and Ben, our CFO. The agenda of today is as follows. First of all, Ben our CFO will go over our Q3 financial results and provide you with our guidance for Q4. Then, Paul our Chairman will have an opening remark. Afterwards we will proceed to questions and answers. We will address the questions that we have collected from analysts before the meeting. After that if there are still more questions we will open the line for you to pose questions. That was the agenda for today. Now before I turn it over to Ben, please allow me to remind you that all forward-looking statements contain risks and uncertainties. Please spend some time to read the Safe Harbor notice on slide number 2. Ben, please?
Ben Tseng: Good afternoon. I would like to take some time to go over our 2023 third quarter financial results. During the quarter, on the back of restocking demand by brands in rest of the year and holiday season, area shipment increased Q-o-Q [indiscernible] also increased, boosting our blended ASP by 5.1% plus aided by NTD appreciation. Net sales increased by more than 10% Q-o-Q to NT$70.1 billion. Our profitability continued to improve as well. Gross profit increased by NT$3.3 billion Q-o-Q to NT$5.3 billion. OP loss narrowed to NT$1.3 billion. Net loss attributable to owners of the company narrowed to NT$980 million. EBITDA margin was 10%. Next slide, balance sheet. Our cash position lowered by NT$12 billion Q-o-Q to NT$78.5 billion due to cash dividend distribution of NT$6.1 billion and debt repayment of NT$7.5 billion. As a result, short-term and long-term debt combined lowered to NT$106.8 billion. Gearing ratio increased slight to NT$16.7 billion. Inventory turnover was 41 days flattish Q-o-Q. Inventory was NT$29.7 billion. Next slide, cash flow. We generated from operating activities NT$5.7 billion. CapEx was NT$5 billion. We had an outflow of NT$14.1 billion due to decreased borrowings and cash dividend distribution. Next slide, revenue breakdown. During the quarter, most segments saw revenue growth by varying degrees, hence resulting in changes in the breakdown. Let's look at TV first. TV gained 3 percentage points to 22% due to restocking demand and ASP increases. IT also benefited from restocking demand to a lesser degree, hence the flattish revenue share. Automotive display lost 1 percentage point to 15%. However, if added with display HMI, which is included in the vertical business, the two segments together took up 17%, showing steady demand of our automotive revenue. Industrial and commercial applications were negatively affected by macro conditions. Demand was weaker, causing our PID and General Display segment to lose 2 percentage points to 11%. Vertical Business revenue share is flat from a quarter ago, showing steady progress and developments in our vertical applications business. Next slide, shipments and ASP by area. Area shipment increased by 3.3% Q-o-Q, mainly due to TV and notebook shipment growth. Blended ASP increased by 5% Q-o-Q, on the back of TV panel ASP increases. Next for our Q4 guidance. Based on our current business outlook, we expect display business to have area shipment to be up -- to be down by mid teams percentage points Q-o-Q. Blended ASP denominated in dollar is expected to be up by low-single-digit percentage points Q-o-Q. Loading rates of the display production lines will be dynamically adjusted based on market conditions. Moreover, we expect our vertical business to grow by double-digit percentage points Q-o-Q, which will have a positive impact on our operating results. So that was a quick recap of our Q3 results and an outlook of our Q4 performance. Before we proceed to questions and answers, we will have Paul to have an opening remark.
Paul Peng: Ladies and gentlemen, good afternoon. Thank you for participating in our Q3 financial results conference. During the quarter, brands geared up their preparations for the year-end holiday season, so restocking demand regained momentum, helping us to boost our panel shipment area to be up by 3% Q-o-Q. Of the growth we have observed that the price increases of TV panels were more pronounced. As for the IT segment, panel prices were flattish, however due to the price increases of products, our ASP increased by 5% Q-o-Q, boosting our revenue by 10.7% Q-o-Q. Our quarterly revenue was back to NT$70 billion level, which makes it the highest quarterly revenue since Q2 last year. As for our profitability due to TV panel price increases and NTD depreciation, our net loss narrowed for two consecutive quarters. As for our operating loss in Q3, it also narrowed from NT$4.4 billion to NT$1.3 billion in Q3. So today we are a step closer to breaking even. As for our financial structure, inventory turnover was 41 days, down by a day Q-o-Q. Our gearing ratio was 16.7%, while up slightly as still quite healthy. As for our vertical business, it is still growing steadily. It accounted for 16% of our revenue for Q3, and we expect the vertical business to account for a bigger share going forward. Now, let's look at the Q4 prospects. Usually, in the latter half of Q4, we will be entering slower seasonality, meaning that the restocking demand will come to a close. But according to the market conditions currently, while the inflationary pressure has been under some kind of control in the U.S. the high interest rates could still continue for a while. So at least for the short-term, macro conditions will still be quite challenging. It also means that end market demand will likely be weaker going forward, at least for some time. But there are some good bright spots in terms of the industry supply and demand. First of all, inventory levels are quite healthy at the moment. Brands have been very prudent in the way they manage their inventory levels, and panel makers are focusing on improving their profitability. So the market is producing in quite disciplined ways. In terms of demand, automotive market continues to grow steadily and size improvements for TV panels continue to be quite strong. We have observed very visible size migration during the October holiday promotions. Also for the past two years, the panel industry has been very prudent in how we ramp up and the ramp up progress has been slowing down significantly for the past few years. Overall, there are still some uncertainties in the market. The panel industry supply and demand continues to improve. With the recovery in demand, we believe the supply and demand of the panel industry will become much healthier. As for AUO, while we have seen ups and downs in the industry in general, but on average, our display business has brought us NT$15 billion of cash every year, helping us to lower our debt ratio effectively while also improving our financial structure. At the same time, we continue to improve our operating model transitioning from scale competition to value competition. Going forward, we will continue to invest in micro LED and other advanced technologies. We will not have big CapEx spending, but we will work on keeping cash inflow steadily, so as to ensure steady financial structure and sufficient cash in hand to propel our biaxial transformation as well as improve our value-added production, product lines and expand our business in the vertical applications field. As for the high value-added products, let me give you an example. We continue to develop next generation LED display technology. First of all, mini-LED at AmLED have increasingly become part of customers standard configurations of their products based on our designing projects for the past two years, we have also experienced very strong progress and development. By the end of this year, we will mass produce micro-LED smartwatch. Micro-LED smartwatch will be our first commercialized product. Going forward, we will also apply micro-LED to an increasing number of high end TV and automotive display products, so as to bring micro-LED technology commercially available to more products and applications. With this leading edge technology, we will be able to provide customers with a full portfolio of products and technologies and we have been differentiating ourselves from our peers. In terms of vertical fields, we have been seeing good progress made. For example, our energy business has been a successful transformation story for the past few years. We have been transitioning from providing solar PV modules to providing one stop, fully comprehensive solar PV solutions. This has helped us to bring in steady revenue growth, but also help us to bring positive profit contribution to our company. Further down the road, we will extend our successful experience in energy business transformation to further expand our presence in the vertical business, one of which will be a further expansion in the automotive ecosystem. This is why in the beginning of October we've announced the acquisition of BHTC as part of our move to strengthen our presence in the automotive market and vertical fields. We hope that we will be able to leverage BHTC's experience as a Tier 1 component supplier in the automotive market, as well as its relationships in car makers, its relationship in the automotive segment and its production bases around the world to advance our step and march in the value-added automotive system ecosystem. We also hope that we will be able to accelerate our development in the automotive market. We have high expectations for the future. We also hope that we will be able to create synergy with BHTC by collaborating with BHTC. We will be able to develop high-speed, develop automotive applications and we hope that it will become a very important growth driver of AUO going forward. That's about all from me. I think you are all very interested in knowing more about this acquisition case, so I will have Frank to share more with you about our thoughts and perspectives with the BHTC acquisition. Thank you very much for listening.
Frank Ko: Thank you, Paul. I'd like to take this opportunity to share with you once again what the acquisition of BHTC means for AUO strategically. As Paul told you earlier, deploying into the automotive ecosystem is a very important part of AUO's business going forward. Around the world we have observed rising demand for electric vehicle and self-driving vehicles. So the smart cockpit has become a very important selling point for all car makers. Inside each driver's cabin, car displays not only grow in sizes, but also in numbers. Display applications and panels are serving as important human machine to action interfaces. At the same time, they are integrating with many components including cameras, sensors, et cetera, so as to improve human machine interaction experience. So AUO is standing at a vantage point. We can leverage our existing expertise and our experience in the automotive segment to provide one stop integrated solutions, which are display HMI [ph] business. At the moment, we have very good opportunities in front of us allowing us to become total solution provider of smart cockpits, which is also in alignment with our go vertical strategic strategy. Let me take stalk of some of the experiences and expertise that we have built in the automotive segment. We have been developing the car display market for many years. Today we are the world's top three car display supplier. In the Central Information Display or CID segment, we are the world's top provider in terms of market share. This kind of application is larger in area and it integrates with many functionalities such as touch capability. In 2022, automotive revenue of AUO exceeded NT$33.2 billion and this year it is expected to be more than NT$40 billion, posting net growth rate of 20% Q-o-Q showing robust growth momentum. I talked about display HMI business earlier. This year we have started shipping this kind of solutions and we expect it to account for 10% our automotive revenue this year. Based on our current order book visibility, display HMI business is expected to reach 40% of our automotive revenue by 2025. This means that we have transformed from a pure panel provider of automotive panels to become HDMI solution provider, furthering our presence in the smart carpet solution market. We have prepared two slides to share with you, why and what we think of the acquisition of BHTC. To expand our automotive ecosystem partnerships, we are strengthening our products and technology expertise. Since 2021, we have been investing in ADLINK, Cypress [ph], which are IT providers and Corota and Cruise Ten [ph], which are SmartCarb solution providers. However, in our ecosystem, we don't have a Tier 1 component provider yet. BHTC happens to be a very good piece of the puzzle. So, I think this tells you very clearly why BHTC. Why we chose to work with BHTC? Actually, before we decided upon BHTC, we've scouted many automotive providers in the Japanese, European automotive production clusters. BHTC was founded in 1999. For the past 24 years, it has been a Tier 1 automotive solution provider. So it comes with rich experience in the market. It also has built rich and long partnerships with many international OEM carmakers. BHTC is also working on transformation. In the beginning, it specialized in climate control systems and since 2015, it stepped its footprint in the fast growing human machine interface market and has built a solid market footprint. Prior to 2015, most of its revenue came from climate control systems. By 2022, HDMI accounted for 40% of its revenue, making this company an impressive transformation story. Going forward, HDMI will become a key growth driver of BHTC. This means that the company's strategic focus is in alignment with AUOs. BHTC is headquartered in Germany, with many production sites in Bulgaria, Mexico, China and India. These factories are certified with automotive level standards. Through the acquisition, AUO hopes to complement our existing production presence and allows us to shorten factory build and certification time. So this will helps us to shorten our payback in factory build effectively. BHTC's client base ranges from Europe, U.S., Japan and India OEM carmakers. After acquisition, we will be able to expand our customer base, especially customers in the European market. Through AUO's advanced technologies ranging from large panel sizes, touch, lamination and micro-LED, as well as our customer and financial resources, we hope that we will be able to help BHTC to land more business projects. Overall, by combining forces with BHTC, we will be able to combine AUOs advanced technology and manufacturing expertise with BHTC's strength in automotive capabilities so as to create complementary synergy to build comprehensive, smart cockpit solutions to better serve OEM carmakers. So these are the advantages that we are hoping for by acquiring BHTC. I think the other side of the coin is financial results, financial synergy. I think this is also questions. This is also an aspect that you're very interested in. So, I would like to remind you that this transaction is still subject to the approval of regulators in many countries and we expect that the transaction will be completed in the first half of next year. So before the transaction, we are making preparations for the transaction and we're also talking to BHTC within the limitation of regulations. What we can expect is that post the transaction, most of the revenues from BHTC will be recognized as our consolidated revenue when we'll be able to make one plus one greater than two. I think that's up to the timing and the result of our synergy creation. AUO is a supplier of BHTC. We expect that we'll be able to leverage the advantages of both sides to secure new projects collaboratively. However, as you know, car makers usually require a longer qualification time. It can go as long as two to three years. But we believe that after the transaction we will be able to collaborate with BHTC to a greater degree to create operating synergies. So after the transaction we will be able to achieve cost synergies very quickly. And when we are able to share our resources, we will be able to make better allocations of our R&D resources and utilization of our production capacity. Now, about the acquisition cost, compared with BHTC's net value, we will be paying a premium. According to accounting rules, the premium amount will be appraised by experts, which will likely be recognized in terms of reputation, technology and customer relations on our books. These are advertisable assets. In the following years, the advertised expenses will likely offset some of the profits brought upon by BHTC. However, we hope that we will be able to accelerate synergy creation afterwards. The amortization amount of the premium will also be subject to appraisal by independent experts after the confirmation of the acquisition amount. As Paul mentioned, we hope that we will be able to accelerate the growth of our vertical business by combining forces with BHTC. We believe our vertical business revenue share will be exceeding 20%. When BHTC is brought into AUO, we will be able to better align with our display HMI business strategy to accelerate the growth of our vertical business. We have been very committed to biaxial transformation. With the steady growth of the vertical business, we believe we will be much more quickly to be more than a panel maker very soon. Thank you very much.
A - Julia Chao: Thank you Paul and Frank for your sharing. Now we would like to start with our question-and-answer session. For the first part of the Q&A, we will address the questions that we have collected from analysts. Firstly, about market update and outlook. Could we provide our view on the worldwide supply and demand of panels? Secondly, what are the inventory levels of TV sets and a range of other products? Frank, would you please?
Frank Ko: Good afternoon. Firstly, about the supply and demand of various product lines. From the supply side this year, panel makers around the world are adjusting their loading rates based on market demand. So companies have been very prudent in how they manage their loading rates. They are pursuing structure upgrades for their products rather than pursuing growth of loading rates. There are several trends emerging. Companies are improving their product specifications. They are working on emissions, reductions and focusing on the site migration trend. Given these trends, the supply of the industry is getting healthier and more rational. In terms of the demand side, since Q4, the restocking pace of commercial applications is slowing down, we will have to observe the sell-through and performance of channels and brands during the holiday season. The high-end niche market such as automotive and healthcare, as well as smart cockpit segments will continue to enjoy steady demand on the back of application innovation and size migration. People are also very interested in knowing the inventory levels. Through two years of inventory corrections, applications ranging from TV sets, monitor and notebooks regions have seen their inventory levels returning to relatively healthy levels. And we have been observing brands and channels being very prudent in the way they manage their inventory levels. In advance of the yearend holiday season, IT brands and channels have their inventory levels slightly higher than previously. Thank you.
Julia Chao: Thank you, Frank. Next, moving on to TV, what are the TV sales through in Q3 across regions and also what is a demand outlook for TV set sell-through in Q4? James, would you please?
James Chen: Ladies and gentlemen, good afternoon. In Q3, TV set sell-through slid slightly, posting a negative growth of 2%. However, on the back of size migration, average size increased, boosting the area shipment by 1%. So it's quite visible that the market has been consolidating and has returning to normal. In terms of set sell-through, the U.S. market was the strongest performer, posting growth for 15 months in a row. 85-inch in above models saw its share increasing and it has posted 30% growth Y-o-Y in terms of sell-through, the other good performer is emerging markets. In India in particular, TV set sell-through was quite impressive, maintaining 20% of growth Y-o-Y and its 50-inch and above TV set is also accounting for a bigger share in Q4, rather, in Q3. The Chinese market experienced slower demand post the June 18 promotional season. However, during the October 1 golden week, 75-inch and 85-inch models saw strong sell through posting more than 30% of the share. Looking ahead at the fourth quarter with many promotional activities expected in advance of the Double Eleven [ph] and Black Friday, as well as Christmas holiday season, demand will likely get a boost. It is also expected that the demand for next year will strengthen with three major sports events coming up, including Euro Cup, American Cup and the Olympic Games, which will likely boost the growth of sell-through next year.
Julia Chao: For the IT application market, could James also please talk about and demand updates and demand outlook?
James Chen: In Q3 Given the back-to-school demand, restocking demand regained its momentum. In Q3, sales became steadier, posting performance that is on par with the previous year. As for the entire IT segment, we're seeing that the segment posting positive growth Y-o-Y. This shows that the industry segment has finally been back to its usual track after two years of market consolidation, we now expect that the Q4 sales to be quite strong. As for next year, many customers are gearing up for AIPC launches and preparing for Windows system migration. As Q3 and Q4 experience growth. With product launches expected next year, the market conditions will likely improve for 2024. Now, about financial related questions. First of all, about loading rates. Our loading rates in Q3 were maintained at above 80% in Q4. As we mentioned, we will dynamically adjust our loading rates based on market conditions, but we believe it will be slightly lower than those of Q3. Depreciation and amortization amount was NT$8.4 billion in Q3 and NT$24 billion for the first three quarters of the year and will likely be NT$33 billion for the entire year of 2023. CapEx in Q3 was NT$4.9 billion and is projected to be lowered to NT$30 billion for the entire year. So those are my answers to financial related questions.
Operator: Ladies and gentlemen, we now open the line for you to pose more questions. [Operator Instructions] Thank you. We now start the Q&A session. [Operator Instructions] Our first caller is Brad Lin from Bank of America securities. Please go ahead.
Brad Lin: Hi, management team. Good afternoon. Thank you for taking my questions. I have two questions. First of all, in Q3, you had a non-GAAP gain. Where did it come from? You also had improvements in gross margin. Could you tell us how much of it came from TVSP [ph] hike, ForEx, material cost reductions, et cetera? And of course, these materials range from glass and other components. Could you also give us an outlook on the trend next year so that was my first question. My second question is relating to BHTC. Frank, you mentioned that you expect Display HMI to account for 40% of your auto business by 2025. What is the share do you expect your auto business to account for in 2025? Moreover, since you expect to create some synergies, to do that, you must upgrade or implement more equipment on BHTCs production lines. So what kind of equipments do you aim to move into the factories of BHTC to make it more specialized? And how much more CapEx will that cost? You also touch upon the fact that besides BHTC, you have also looked into other competitors of BHTC. Could you tell us how many competitors there are for BHTC and what is the market share of BHTC at the moment? Moreover, the company has a net margin of 1.5%. That seems a bit low. Is there any substantial margin upside in the long run?
Ben Tseng: Hi, I’m Ben. For your first question on non-GAAP income, during the quarter, the income was NT$560 million or so, mainly coming from the income contribution from our investees. Some of the income came from rent income or tax credits and some from subsidies. So, in terms of the contributors to our gross margin, let me give you a bit of breakdown. ASP accounted for about 2 to 3 percentage points. ForEx contribution was about one to two percentage points, and product makes also one to 2 percentage points.
Frank Ko: Brad, I’m Frank. For your second question on the Display HMI business, we mentioned that we expect the business to account for 40% of the automotive segment revenue by 2025 based on our current order book Visibility. This projection was made based on the assumption that in the coming two years, AUO's display HMI growth rate will outpace that of the traditional car display segment. In terms of the business revenue share by them. Currently, automotive revenue accounted for 17% to 18% of our revenue, and by 2025 it is expected to take up 20% to 25%. Of course, we are hoping for it to become 25%. Moreover, about BHTC factories developments going forward first of all, I would like to apologize for not being able to disclose much before the transaction is completed, because we are still having ongoing conversation and talks with the company. However, we're still having to adhere to many of the limitations. But one thing we ask of BHTC is for them to deliver on their commitments to customers for the projects that they have secured and maintain sustainable operations. So this is what we are asking of BHTC. Did I answer your questions?
Brad Lin: Thank you. More about BHTC. What sets the company apart from its competitors? Also, what is its buckish share at the moment? What is your goal for its margin? Do we have a target for its margin improvement?
Frank Ko: To be quite honest, this is a very good question, but also a very difficult question, because if you're talking about automotive Tier 1 providers, they can offer a wide variety of products or services. Some large, comprehensive Tier 1 suppliers may provide smart cockpits, display HMI related products, or even interior related elements such as chairs. Some companies even provide tire gauge or tires. Compared with those large scale companies, BHTC is a midsized company. It is extremely focused on cockpit solutions. So when it comes to market share positioning, it's very difficult to make an Apple -to-Apple comparison. But in terms of smart cockpit, in terms of the display HMI business, BHTC has a very strong client base. It has many premium customers with high successful rate of projects. This makes this company a very strong one because it's very focused. When we consider expanding our ecosystem and our strategic focus on smart cockpits, we look for companies that are highly complementary to our own, hence the selection of BHTC, hoping to complement our capabilities in these Tier-1 segment. As for the profitability of BHTC. Ben, could you please?
Brad Lin: Good afternoon, Ben.
Ben Tseng: Truth to be told, before we close the transaction, I can share with you limited information. Frank talked about BHTC making transformation. And having told you that it has a big growth potential in the HMI business, this company is also a very typical one, meaning that during its expansion phase, it has secured quite a lot of orders, thereby resulting in R&D expenses and other operating expenses, hence the net margin. What we look for at BHTC is that for the company to improve its current margin and especially on the company's growth potential, we have some expectations for the company and we believe that it will be complementary to our business.
Brad Lin: Thank you. That's very clear. Thank you very much.
Operator: Our next caller is Karen Huang [ph] from Citigroup.
Unidentified Analyst: Thank you, executives, for providing us with information and taking my questions. I have three questions. First of all, about the end demand for IT and TV next year. Could you give us some quantitative guidance for these two segments? Do you expect them to post low or mid-single digit growth next year? Because you mentioned that you are quite positive about the outlook of these two segments. Secondly, about TV panel prices, Chinese panel makers said that in Q4 from Q4 through next year, early next year, prices of various size segments will experience different price movements. What's your perspective? Could you also give us some color on the revenue share of your different size segments? Thirdly, you mentioned that you would adjust downward your CapEx budget, what about next year? What will be your spending items?
James Chen: Thank you. Hi, Karen, I'm James. On your question relating to TV and IT market demand in November, brands are indeed planning for their business next year. Based on what we understand, the industry is relatively more positive about next year's outlook, as the demand has been steadier since Q3 through Q4. Moreover, channel inventories have become much more healthier with international sports events coming up, TV segment will likely get a boost. Many people have bought TV sets during COVID. Replacement demand will emerge to some extent. As for IT, sell-through will become steadier now without the problems of excess inventory levels, aided by AIPC and Windows System transition demand, customers are slightly more optimistic about their demand next year and believe the demand will be better than this year. As for TV panel prices, actually it's very difficult to provide projections. But what we have observed is that the market has become much more rational and people have recognized that the TV market has a stable amount of need of needs. The demand is there, and market demand will not shrink for a sustained period of time for too long. So the industry chain is much more rational in the way they perceive the market, and the market is better at adapting to the changes in demand.
Ben Tseng: Hi, I'm Ben. For your third question relating to our CapEx next year, currently, we are budgeting for next year. We are still consolidating our numbers, so I'm not at the liberty to provide you with specific numbers. However, based on our current projections, we will not have aggressive expansion in ramping up. We will focus more on developing new technologies and meeting our customers demand. So our CapEx amount will be on par with this year. Thank you.
Operator: Ladies and gentlemen, in the interest of time, we will take one last call. Thank you. Our last caller is Lisa from Yuanta Securities. Please go ahead.
Lisa Chen: Executives, good afternoon. Can you hear me?
Julia Chao: Yes.
Lisa Chen: Thank you. I'm Lisa from Yuanta Securities. I have several questions. First of all, in terms of your automotive segment, you also have car displays in your vertical business and automotive segment. You said that you expect display HMI to post high growth. And since you expect to have growth from both of these segments, how would you project for the segments of HMI in these two segments? I think with HMI you also need to integrate with your downstream suppliers or your downstream components as well. When it comes to HMI, what functionalities or features are needed in addition to the standalone panels? In terms of HMI solutions, do they have higher profitability, higher margins than other products? My third question is relating to dividend payment. Earlier, you announced a policy on dividend distribution for the next three years. Up until now, one year has passed. Will you have any changes to that policy? Thank you.
Frank Ko: Lisa, I’m Frank. On your questions relating to the automotive business in terms of the growth rate comparisons between HMI versus the traditional car displays, with the 2025 projected revenue share that we provided, we combine HMI with the automotive segment and we project HMI to account for 40% of the automotive revenue. What we will see is that in various automotive scenarios, automotive panels grow in sizes and account for a bigger share of the driver's cabin. And increasingly, automotive displays are installed above in the front of the cluster. We also have customers booking pillar to pillar panels. These kind of products are quite integrated, quite comprehensive, providing robust human machine interaction capabilities. They also offer touch and sensing functions as well as entertainment enablement. These are products termed as HMI solutions. Some of the displays would also integrate with turn knobs and digital knobs to provide display centric HMI. Therefore, volume wise, the growth rate of HMI will not be that much stronger than traditional panels. However, in terms of revenue growth, it will be much higher and the unit value will also be much higher. So with HMI, we believe that we will be able to deliver bigger unit size value for panels. Moreover, about the profitability, Display HMI is usually very customized and during the development of each project, we have to invest in much R&D resources, engineering efforts and time to ensure EO rate is optimized. But as a result, we also have a bigger successful rate and a bigger control of the profitability. Therefore, we believe Display HMI will provide us with higher visibility and steady profit. Earlier you mentioned that you have been investing in other companies besides BHTC, including ADLINK.
Lisa Chen: Are they also providing positive contribution to the company?
Frank Ko: Yes. With these investees, we expect that our Display HMI will enable us to transition from a traditional single display provider to an integrated solution provider. Being able to offer automotive computers combined with software functionalities ICUs or even other advanced display technologies. This will allow us to become a solid provider of smart Cupid Solutions.
Paul Peng: Hi, I’m Paul. On your question relating to dividend payment between our long-term development needs and stockholders rewards, we strive to strike a balance. The distribution of stock dividends or cash dividends will be subject to the approval of our board members. So at the moment, I'm not at the liberty to provide much information. But in terms of our dividend distribution and our M&A plans, they are all part of our long-term development strategy. Thank you very much.
Julia Chao: Ladies and gentlemen, in the interest of time this concludes our financial results conference. If you have any other questions, please feel free to contact us at the IR department at AUO. Thank you very much. We will see you next time. Thank you.